Operator: Greetings, and welcome to the CoreCard Fourth Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Matt White, Chief Financial Officer. Thank you. You may begin.
Matt White: Thank you, and good morning, everyone. With me on the call today is Leland Strange, Chairman and CEO of CoreCard Corporation. He will add some additional comments and answer questions at the conclusion of my prepared remarks. Before I start, I'd like to remind everyone that during the call, we will be making certain forward-looking statements to help you understand CoreCard Corporation and its business environment. These statements involve a number of risk factors, uncertainties and other factors that could cause actual results to differ materially from our expectations. Factors that may affect future operations are included in our filings with the SEC, including our 2023 Form 10-K and subsequent filings. We'll also discuss certain non-GAAP financial measures, including adjusted diluted EPS and adjusted EBITDA, which is adjusted for certain items that affect the comparability of our underlying operational performance. These non-GAAP measures are detailed in reconciliation tables included with our earnings release. As we noted in our press release, our fourth quarter results were above our expectations due to unexpected license revenue and in line with our expectations, excluding the license revenue, with continued year-over-year growth in processing and maintenance revenue. Total revenue for the quarter was $14.8 million, a 22% increase year-over-year. Services revenue, defined as total revenue excluding license revenue, increased 10% in the quarter on a year-over-year basis with full-year growth of 1%. The components of our revenue for the fourth quarter consisted of license revenue of $1.4 million, Professional services revenue of $6.2 million, Processing and Maintenance revenue of $6.1 million and third-party revenue of $1.1 million. Processing and Maintenance revenues grew 11% in the fourth quarter on a year-over-year basis with full-year growth of 7%. A majority of our Professional Services revenue is from our largest customer, Goldman Sachs. As a reminder, we converted the managed services revenue we received from Goldman included in Professional Services to a fixed monthly fee of approximately $1 million for 2024. In October of 2024, we extended our managed services contract through the end of 2030 and guaranteed it through at least the end of 2026 at a higher monthly rate that starts in 2025. Revenue growth, excluding our largest customer and the impact from ParkMobile and the legacy Kabbage business, was 29% in the fourth quarter on a year-over-year basis and 33% for the full-year. We continue to onboard new customers, both directly and through various partnerships we have with program managers such as Deserve, Vervent and Cardless. We continue to work on multiple implementations with new customers to be expected to go live in the coming months. As a reminder, these new customers typically build their account base over time, paying mostly our minimum fees of $10,000 to $15,000 per month in the initial 12 to 18 months of their program. We expect our new customers to become more significant as they grow their own businesses and we are seeing the impact of this in the significant growth rates of our non-Goldman business. Turning to some additional highlights for the fourth quarter and full-year for 2024. Income from operations was $2.1 million for the fourth quarter of 2024 compared to income from operations of $0.4 million for the fourth quarter of 2023. Our operating margin for the fourth quarter of 2024 was 14% compared to an operating margin of 3% for the same period last year. The income statement impact of our new platform build was $0.7 million in the fourth quarter of 2024 and $2.7 million for the full-year 2024 compared to $0.6 million in the fourth quarter of 2023 and $1.8 million for the full-year 2023. Our fiscal 2024 and 2023 tax rate was 21.1% and 24.5%, respectively. We expect our ongoing tax rate to be between 24% and 26%. Earnings per diluted share for the quarter was $0.24 compared to $0.06 for Q4 2023. Full year 2024 diluted EPS was $0.67 compared to $0.40 for the full-year 2023. Adjusted diluted EPS for the quarter, excluding stock-based compensation expense, was $0.28 compared to $0.06 for Q4 2023. Full-year 2023 adjusted diluted EPS was $0.79 compared to $0.53 for the full-year 2023. We generated operating cash flows in 2024 of $5.8 million. We used $7.6 million on share repurchases in 2024, including $2.2 million of share repurchases in the fourth quarter of 2024. We continue to have excess cash on our balance sheet as of December 31, 2024 and we expect to continue generating operating cash flow in 2025. We plan to use this excess cash and cash generated from operations to continue investing in our new platform and to continue investing and growing the business. For 2025, we expect revenues of $60 million to $64 million; earnings per share between $0.88 and $0.94; and revenue growth, excluding Goldman of 30% to 40%. We do not expect any license revenue in 2025. Within Services, we expect continued growth in Processing and Maintenance and growth in Professional Services, reflecting the impact of higher managed service rates from Goldman. For the first quarter of 2025, we expect total revenue between $14.4 million and $15 million and earnings per share between $0.15 and $0.19. We expect Professional Services revenue to be between $6.8 million and $7.2 million for the first quarter of 2025. And with that, I'll turn it over to Leland.
Leland Strange: Okay. Thanks, Matt. I'll start off with a light comment. We had -- Matt received a text this morning after our earnings release, and I received a call. His text said marketing cost of 30%. Have you lost your mind? Now for those new to us, you know, we don't spend any money on marketing, virtually any money. We don't spend money -- and we have no salespeople. So up 30% or $100,000 is nothing. So that was said in jest. But yes, no, we haven't lost our mind. We still have no salespeople. We still spend very little on marketing. And I got a call also this morning after the release and from one of our long-term investors. He's surprised you're still doing this. I thought you said you were looking at a younger leadership in the last couple of calls. Well, we are. I told them as long as Matt keeps reporting good results, things keep going really good. Maybe I'll hang around, but not really. And I'll say more about that at the end of the call. And so just -- as Matt said, our revenue and profits, they exceeded our expectations due to another license tier payment, everything else is pretty much what we expected. I don't expect another license tier surprise this year, but I'm not going to say what might happen. Our Processing and License revenue components grew just 7% of the year, but 11% for the quarter. And adjusted for a couple of old customers that were acquired by other parties in 2023 and had to leave the platform, we were up, I believe over 30%, and that's the number that I look at. And it's really what do we -- what kind of new business are we acquiring outside of our largest customer. For 2025, we do see revenue north of $60 million. And most importantly for metrics and long-term projections, we believe we will grow 30% to 40%, excluding our largest customer. We see a path for that to continue in future years. Total revenue for the year actually could be even in the 64 or higher range, although we had other guide to a little bit lower and we don't have that confirmed and under contract at this point. I will say, we've already signed three new customers this quarter. Typically, fintechs, and they go live in the next few quarters and they're small, and it will take time for them to grow. At least one of those that we signed is moving from another so-called modern processor who just could not reconcile accounts, which CoreCard of course does every day to the penny. I think the newer processors who are trying to compete in the revolving credit space are finding what I found to my surprise many years ago, they tried to reconcile revolving credit card balances, it is really hard, where the data for the network often gets corrected a day later, cardholders pay the wrong amount days late and then they claim they paid on time. So a human has to decide whether to change the payment receipt date or not, returns are sometimes taken several months later and they end up being partial returns for which interest has already been charged. And in some cases, the portfolio which is holding the credit has actually been sold off. And then the regulator says prove to me the interest conforms to the published card's terms and conditions. That's hard. And then you have to keep all those details, which legally requires for seven years with sometimes regulators going back to a transaction made several years past to prove or disprove a claim. Not easy. It is not primarily a technology challenge, but a business knowledge challenge that has to be transformed into technology outcomes. That's why the legacy processors have had no real competition in 40 years. They know how to do this, and they know how to do it at scale. Any smart coder could do it for a few hundred or a few thousand accounts. You just mainly adjust for errors, but it didn't work when you've got millions of accounts. I believe CoreCard is the only modern processor that can legitimately compete with a legacy processor today for large scale revolving credit programs. I know no other modern processor that has even 0.5 million active revolving credit cards. CoreCard has around 15 million on their platform. A comment about our new platform called CoreFinity or CoreFI, it's incorporating all of the complexity and features of the current platform, but using the latest technologies and architected for the cloud. Most importantly, it's factored in time travel testing that will speed up adding unique programs for innovative issuers. I guess that brings me full circle in my opening comments. I previously talked about companies inquiring by CoreCard as a possible acquisition candidate. I've been forever open and regularly say, we always try to do what's best for shareholders, and that might mean selling the company to a larger enterprise that can more easily scale the value from our platform. While at the same time, we get up every day and run the company as if it's going to be independent forever. We have, over the last few months had dialogue with different parties and more recently focused on discovery of what interest might be in the financial services market for a first-class revolving credit platform, both our current proven scalable semi-minor platform as well as our new CoreFI platform. The Board wants to make a decision to either do a transaction or quit talking about it and focus on finding a new President. I'm not going to be the President who gets to take advantage of future CoreFinity platform as we'll either partner with someone else rather soon or we do find the right President to keep building. That said, we put in place an informal but comprehensive process to discover interest in order to maximize value for our shareholders. We'll know in the next few months the future direction and it may simply be turning this great company over to a successful President to continue building or it may be accepting an acquisition offer. I guess, finally, because I know I get questions on this, talk about the status of the Goldman Sachs relationship. Matt talked and we've talked about amended contract last call that goes through 2030, but does have termination rights with compensation after the end of the 2026 year. Nothing has changed on that end, and I continue to speculate as I have in the past just based on the news we all read that Goldman would get out of the issuing business as soon as it can and a new bank will take on the Apple program. The press reports that conversations are going on with different banks, and I would certainly expect that to be true. I have no information that would provide any certainty that whatever new bank is chosen would keep the program of CoreCard. All banks have existing agreements with processors, either FIS, Global Payments or Fiserv, while JPMorgan Chase mostly does their own processing. CoreCard would hope to maintain the processing and we'll do whatever we can to keep the valuable client and introduce the most successful new credit card ever to the market. I know any of the legacy processors could eventually code to the current card specs. I also believe it would take two to three years to transition as Apple expects perfection and then go through months of testing. I'd say that also believing that keeping CoreCard would be the best outcome for whatever bank ends up of the program. I can be less risk and no more costly. Other than that, I have nothing more to add. So at that point, I'll take questions that you might have a better eye.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions]. Our first question comes from the line of Hal Goetsch with B. Riley Securities. Please proceed with your question.
Harold Goetsch: Hey, thanks for the chance to ask a question here. I just want to make sure I heard you correctly. There's -- in your forecast, there's no planned license fees expected in 2025. Is that right?
Matt White: That's right.
Harold Goetsch: Yes. And is that to be conservative, you would think maybe you had some new issuers in the pipeline that might make an initial first -- initial first license for a new program win. So I hope doesn't mean you don't have a pretty good funnel that you're working on? Could you give us your thoughts on why?
Leland Strange: That's the Goldman situation. That's where we get the license here. We're not really in the licensing business. Yes, we're in the processing business now.
Matt White: We expect new customers to be on the processing side rather than on the license side. If something big did come in, we would still bring on a license customer. But that's not our focus at the moment.
Harold Goetsch: Okay. If you were to onboard a new customer, it would show up in both maybe some professional services launch and maybe some third-party for cards and then you get the processing afterwards. Is that how...
Matt White: Yes.
Harold Goetsch: Yes, okay.
Matt White: That's right. Yes, mostly in the processing and maintenance line.
Harold Goetsch: Okay. Okay. Good. Okay. And then help us think about total dollars of cost to run the business this year. It's your marketing, G&A and R&D have kind of been quite variable in terms of movement. Like it was $3 million in Q1, but it almost hit $4.5 million in Q4. Any points there on just kind of dollars of spending to run the business as you kind of execute in 2025?
Matt White: Yes. Well, we do expect some increases in costs in 2025, but we don't need to add a lot of personnel, and we don't need to add a lot of equipment to support the growth that we're expecting in 2025. We think we have the people that we need. So primarily the increase in overall costs will be just normal cost of living adjustments for salaries and just other costs that come along to run the business, but we're not expecting a significant increase year-over-year in operating expenses from '24 to '25.
Harold Goetsch: Okay. Okay. And you have about 15 million cards right now on the platform. Is that what Leland said? Is that right?
Leland Strange: No. I said there's nobody that we know of in terms of the modern processors that have even 0.5 million revolving credit cards, and we have around 15 million revolving credit cards in one instance actually.
Harold Goetsch: Yes, just wanted to make sure I heard that number right. Yes, I heard that. The others don't have a 0.5 million, that's what I make sure I heard that. I heard that right. Okay.
Leland Strange: That's right. Nobody else. So ahead of any other modern processors in terms of numbers and scale is important ability to scale.
Harold Goetsch: Okay, probably those are my questions. I will follow-up after with you guys. I have a [indiscernible] will get back in the queue. Thanks.
Leland Strange: Thanks, Hal.
Operator: Thank you. And we have reached the end of our question-and-answer session, and this also concludes today's conference and you may disconnect your lines at this time. We do thank you for your participation.